Operator: Good day and welcome to W.R. Berkley Corporation’s Third Quarter 2017 Earnings Conference Call. Today’s conference call is being recorded. The speaker’s remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words including without limitation, believes, expects or estimates. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans, estimates or expectations contemplated by us will in fact be achieved. Please refer to our Annual Report on Form 10-K for the year ended December 31, 2016 and our other filings made with the SEC for a description of the business environment in which we operate and the important factors that may materially affect our results. W.R. Berkley Corporation is not under any obligation and expressly disclaims any such obligation to update or alter its forward-looking statements whether as a result of new information, future events or otherwise. I would now like to turn the call over to Mr. Rob Berkley. Please go ahead, sir.
Robert Berkley: Thank you, Scarlet and good afternoon all again and thank you for joining us for our third quarter call. So, with me on this end, I have our Executive Chairman as usual, Bill Berkley as well as Rich Baio, our Chief Financial Officer. Consistent with what we have done in the past, I am going to start off with some general comments and I am going to hand it over to Rich. He will get into a bit of the details on the quarter and then we will open it up for Q&A, the three of us will be available to answer any questions you may have, and finally I will have a couple of sound bites at the tail end. So, well, ticking it off, obviously, the third quarter was exceptionally active on the cap front. Before we start getting into the numbers and the day-to-day of the business in the industry, let me first start by expressing our organization’s concern and sympathies for the millions of people that were affected by the events in the third quarter as well as more recently the wild fires in the fourth quarter. Additionally, I would like to thank our colleagues and there are many of them that have worked tirelessly over the past several months to ensure that our customers or claimants were appropriately looked after at a timely manner. And finally, I would like to recognize the countless number of colleagues that have gone above and beyond on a personal level to volunteer and to donate to people in the affected areas. I think this is a true reflection of the values of the people that makeup our organization and ultimately our culture is a reflection of their values. So, we are very proud of the response by many of them and we as an organization recognized we have a broader obligation to society than just our day-to-day business. Switching over to the traditional topics, so what’s going on in the market? From our perspective, obviously, again, Q3 very active, unusually active and at this stage, there are probably two glaring questions flashing in bright neon at all of us. One question would be so when you tally up all these losses in the third quarter and you hear the number that’s checked around, how come all of the parts if you will are not equaling or adding up to the whole. When you look at the numbers that have been announced or pre-announced as it relates to losses during the third quarter and again you looked at the projected whole, the parts are not equaling the whole. Obviously, there could be a couple of different reasons for this. One is that it will turn out the projected whole turning out to be something less than expected; number two, alternative capital and other market participants that have not announced, it’s going to prove that they have more exposure than perhaps some people had originally expected; or number three, many market participants are just proven to be more optimistic than will prove to be reality. I am not sure if anyone knows for sure it could be some combination, but certainly the parts not adding up to the whole has made us scratch our head. Question number two will be so given the level of destruction of capital give or take $100 billion vaporizing in a relatively short period of time. So, what will the response be from the marketplace? There is a broad spectrum of commentary out there ranging from no response to you will see a response in the affected areas to the property line in general to some would suggest this will have a meaningful impact on the broader market. From our perspective, while it’s hard to know exactly what the degree of the response or potentially hardening in the market will be, it is hard for us to imagine that given the level of capital that has been destroyed that there will not be a meaningful response. Put another way, it is hard for us to imagine that given the loss activity it is not going to be a definitive wake-up call for market participants and capital providers to focus more deeply or to revisit what is an appropriate risk-adjusted return. Drilling down more specifically into the reinsurance market, honestly, I don’t have a lot to add beyond what you have heard me comment on in past quarters, it’s as ugly as ever out there. Maybe it requires a large dose of medicine that doesn’t taste very good. So, you get people to wake up and realize what needs to happen. Obviously, a lot of the chatter is around the property cat market at this stage. From our perspective, the casualty and the professional market while it may not be as clear arguably could be almost if not equally impaired it’s just not again as visible. As it relates to the insurance market, casualty and comp are probably the brighter spots although I would caution people around the comp market we are seeing some pretty aggressive actions on the part of state rating bureaus. I think the rating bureaus for the most part, particularly NCCI are pretty responsible. Having said that, there are certain situations where you see politics start to creep into the scenario and that does not lead to necessarily the right answer. On the professional front very mixed though overall I would suggest eroding or moving in the wrong direction. D&O is probably the line that gives us greatest reasons to pause. We are concerned about that. Property, it’s really two worlds, cat and non-cat. And finally, on the auto front, from our perspective, while things continue to improve we have not gotten to the mile-marker that we need to before we are going to really open up the spigot all the way. Couple of comments specifically on our quarter, top line is off modestly and again, Rich is going to get into the weaves with a bunch of these numbers, but it was primarily due to our reinsurance segment. Little more specifically, it was driven by our domestic or U.S. treaty business. Some of you may have seen in the release on Page 6, I believe it is we give a bit more detail. The headline is we are growing where the margin is we are shrinking where we don’t like it. Overall, rate was up give or take about 1%. Renewal retention ratio was hovering around that 80%, which is pretty consistent with what we have seen over the past couple of quarters. On the loss ratio front, obviously spiked up to 68.4% that’s what happens when you have a $119 million in a 90-day period of cat losses. On the accident year, it was 51.3%. We did have about $7 million of positive development coming through in the quarter and I would like to spend a moment or two on this and it maybe a bit repetitive from what we touched on in the past couple of quarters or a few quarters ago I should say. We are observing what would appear to be out on the horizon signs of an increase in severity beyond what we have seen over the past several years on the casualty front and on the professional front. We want to be our usual cautious self and make sure that we have a belt and suspenders approach. We are very comfortable with our reserves to say the least. At the same time, we want to be measured and how we declare victory and how quickly we declare victory given the signs that we see on the horizon. Investment portfolio again, Rich is going to touch on this. The duration shortened up a little bit on the fixed income, return book yield if you will is pretty flat. Obviously, you noticed the big gain that came through a lot of that was driven by the sale of a building that we have pre-announced I believe it was back in July. We also had a couple of other gains in there. And yet again touching on a topic that we have discussed in the past and I know that this isn’t particularly palatable to those that focus on trying to predict how we will perform in any 90-day period. We think the focus on capital gains is completely consistent with our total return approach and is very much in line with what our shareholders have asked us to do and that’s simply both from a investment perspective as well as an underwriting perspective, focused on building book value through making good risk-adjusted returns. Couple of other comments here, unfortunately I can’t read our own handwriting. Tax obviously it has been getting a lot of headlines. All of us read about it. All of us hear about it. Two big questions there from our perspective, one, being what is going to happen with general corporate tax reform or tax reform in general in this country, which seem to be like it’s building momentum I think as we have discussed in past quarters. It actually would seem as though it’s an issue as it relates to corporate tax that both Democrats and Republicans recognized that the U.S. needs to be more competitive on that front. On a different topic, under the tax umbrella, certainly is an issue that is near and dear to our organizations part particularly our Chairman and certainly, other U.S. domiciled companies and the question will be are the planets and the stars going to completely lineup where we are not only going to have corporate tax reform in this country, but in fact some of the situations and our attorneys prints, when I say this loopholes that were created that offshore companies benefit from whether the ability to reinsure your own business from your domestic or U.S. affiliate to a foreign affiliate whether that loophole will be closed off. I think it’s important to highlight, because it has been mischaracterized by some, we as an organization and I believe others in the industry that are based in this country that take issue with this disconnect. We have no issue with any foreign jurisdiction. We have no issue whatsoever with any foreign-based company. Our issue is that Washington DC has quite frankly there was an oversight or an inadvertent estate and they unfortunately for an extended period of time have not been willing to address it. So, I guess, long story short before I hand it over to Rich, 101 is the combined for the quarter, not what we strive for, certainly not what we target, but in light of the circumstances certainly on a relative basis, we think it’s not a bad outcome. In addition to that, it’s unclear ultimately as to how the market is going to respond to the recent events, particularly in the third quarter, which you have spilled over into the fourth quarter again with the California wildfires. Having said that, we are in position to take advantage of whatever market opportunity comes our way. We view that we are there to provide service and capacity to customers that we believe is a responsible rate and the responsible form. So, we have the platform, we have the people, we have the capital. So, as the opportunities present themselves, we are well positioned to take. Rich is going to get through the numbers and then we will open it up for Q&A and a couple of last sound bites from me at the tail end. Rich?
Rich Baio: Thanks, Rob. Appreciate it. We reported net income of $162 million or $1.26 per share compared with a year ago quarter, $221 million or $1.72 per share. The most significant difference between the comparable periods of the cat losses as Rob alluded to in the current quarter resulting from several events impacting both the insurance and the reinsurance industry. During the third quarter of 2017, we saw three Category 4 hurricanes make landfall in the U.S. and Caribbean as well as two earthquakes in Mexico. The industry has not experienced this degree of catastrophic events in over a decade. Despite the infrequency of severe events, we have continued to effectively manage our cat exposure and accordingly have reported a low amount of cat losses on both an absolute basis and as a percentage of earnings or capital relative to most industry participants. These cat losses were very much within our expectations for such events. Consequently, our underwriting performance was adversely impacted by the accumulation of approximately $107 million of cat losses from these events on a pre-tax basis. In addition, we had approximately $12 million of other pre-tax cat losses in the quarter. In total, cat losses impacted our results by 7.5 loss ratio points in the quarter or $0.60 per share after-tax. Continuing with our total return investment strategy, we recognized significant pre-tax investment gains in the quarter of $184 million or $177 million after considering related operating costs and expenses, including performance-based compensatory costs. Much of this investment gain was not previously reflected in stockholders’ equity. To be more specific, the pre-announced sale of the real estate investment in Washington DC giving rise to a pre-tax gain of $124 million was not marked to fair value in our financial statements under the accounting rule. The sale of the investment triggered the recognition of fair value. Our current accident year underwriting results before cat losses were unchanged from the prior year even if market conditions remained competitive. We have managed our risk selection and exposures based on areas in the market where we can achieve attractive risk-adjusted returns. Total net premiums written declined 2.3% to approximately $1.57 billion driven primarily by a decrease in the reinsurance segment. This decline continues to be attributed to the North American property and casualty treaty reinsurance business. Our reinsurance segment decreased $25 million to $139 million in the quarter. The insurance segment experienced a small decline in net premiums written of 0.8%, which was largely attributable to the exit of a few lines of business certain operating units due to the inadequate opportunities to achieve targeted risk-adjusted returns. The accident year loss ratio before cats was 61.3% compared with 60.9% a year ago. Most of the difference relates to non-cat weather-related losses. As previously mentioned, the increase in cat losses was primarily from hurricanes Harvey, Irma and Maria along with the two Mexican earthquakes, which represented 6.7 loss points in the current quarter over the prior year. Prior year loss reserves developed favorably by $7 million or 0.4 loss points compared with $13 million or 0.8 loss points for the same period last year. Accordingly, our reported loss ratio for the current quarter was 68.4% compared with 60.9% a year ago. The expense ratio decreased 40 basis points from the year ago quarter and 1% from the consecutive quarter. The current quarter’s expense ratio was favorably impacted by the reduction in commission expense relative to the change in net premiums earned. The commission expense is primarily declined as a result of the withdrawal from several of the structures and property transactions, which had high ceding commissions, sliding scale commission income due to higher losses on assumed property business, and finally, lower contingent commissions payable to our distribution partners resulting from increased loss activity. This reduction was partially offset by increased compensation expense, which includes the operating units recently added to the insurance segment. We anticipate the expense ratio will increase in the fourth quarter as the commission expense stabilizes and the potential inclusion of the high net worth business in the insurance segment rather than in the corporate operating expenses. This brings our combined ratio to 101% for the current quarter compared with 93.9% for the third quarter 2016. The core portfolio investment income increased $9 million compared to a year ago led by fixed income securities with an annualized yield of 3.4% as well as real estate income. Investment funds declined $10 million due to mark-to-market adjustments for energy funds. We have highlighted the potential variability that may arise in the fund performance on a quarterly basis. Energy prices continue to be below last year’s levels and we anticipate the energy funds performance in the fourth quarter of 2017 may approximate this quarter’s energy funds results. On non-insurance business earnings, our non-insurance business earnings increased in the current quarter compared to the prior year. This is attributable to the inclusion of a textile solutions business we acquired earlier this year and the comparability of the aviation business reflecting the sale of Aero Precision Industries period over period. Corporate operating expenses decreased from the same quarter a year ago and slightly increased from the consecutive quarter, primarily reflecting our investment in new business opportunities like our high net worth business. We expect the high net worth operation to begun underwriting business in the fourth quarter. When we move the business to the insurance segment, these expenses will be reflected in the underwriting expense ratio. The effective tax rate was 28% for the quarter. There are two elements impacting the rate this quarter. First, the realized investment gains which increased the rate above normalized levels due to its disproportionate contribution at a 35% rate and second, the benefit from equity-based compensation that reduced our effective tax rate. The change to the accounting rules that occurred in January 2017 caused the increase in the value of equity-based compensation to be reflected as a reduction to income tax expense rather than additional paid in capital. Since the predominance of our equity-based compensation vests in August, you may see a lower effective tax rate in each of our prospective third quarter results reflecting this potential tax benefit. At September 30, 2017, after-tax unrealized investment gains were $454 million, an increase of $27 million from the beginning of the year. The average rating was unchanged to AA minus and the average duration for fixed income maturities, including cash and cash equivalents decreased to 2.9 years compared to 3 years less last quarter. Our return on equity for the quarter on an annualized basis was 12.8% on net income basis and 17.9% on a pre-tax earnings basis. Book value per share increased $1.01 to $44.60 in the quarter representing an annualized increase of 9.3%. And finally, we purchased approximately 441,000 shares in the quarter at an average price per share of $64.33.
Robert Berkley: Rich, thank you very much. Scarlet, okay, we are going to pause on our end here and we would appreciate if you could open it up for questions.
Operator: [Operator Instructions] Our first question comes from Kai Pan with Morgan Stanley. Your line is now open.
Kai Pan: Thank you.
Robert Berkley: Kai, good afternoon.
Kai Pan: Good afternoon to you too. So, thank you so much for disclosing the accident year combined ratio in the press release that save us a question on the reserve releases. So, on that topic you mentioned, increased severity in casualty and professional lines and could you discuss what’s the reason behind it and are you sort of like slow the pace of reserve releases and also increase your – more conservative in your initial loss pick in these lines?
Robert Berkley: Yes. So, I wouldn’t want you to read too much into this. So, what we are seeing and we have commented on this in the past couple of quarters is there has been some awards that are coming out of the court. The numbers are somewhat inflated compared to what one has seen over the past few years. So, we continue to be very comfortable with our reserves. We think that we are in a very good position. At the same time, given the nature of our business, we want to make sure that we have our head fully around that.
Kai Pan: Okay. And then my second question on the sort of like the pricing outlook, I hope you can discuss maybe more on three specific areas. Number one, on the property reinsurance, which you have reduced underwriting a lot over there, at what price levels that you would be becoming more interested? Number two, you mentioned the casualty reinsurance the equally impaired, I don’t know what exactly you mean by that? And number three is that in your insurance business, you see growth opportunity in select areas, can you expand on that?
Robert Berkley: Sure. So, let me try and take those in order. So, on the property cat front, the answer is considerably more than the market will bear today and that’s why you see us shrinking. As far as the broader commentary about the reinsurance market around the casualty and professional, I think the reality is the reinsurance market while the issue started some years ago in the property cat is spilled over into as we have commented in the past to the casualty and professional market. I think the pricing in those parts of the market have been challenging to say the least and I think for those that have not been cautious over the past couple of years are likely to be in for a rude awakening. I think the differences property cat, the wind blows or the earth shakes and it comes into focus very quickly. As opposed to the casualty and the professional lines, it takes time for that to come through. The problem with that is it allows people to make mistakes from a more extended period of time which then compounds the problem. As far as where we think the opportunities are the insurance market, I don’t think it’s in the best interest of the people that we work for to get granular as to where our best margins are. I would suggest that if you have a look at Page 6 of our release, it gives you a sense as to where we are growing. So, I think that clearly the insurance market. And for that matter, I would define the specialty insurance market is a better place to be today as it has been for the past few years than the reinsurance market. We will have to say whether that’s that case in the future.
Kai Pan: Thank you so much.
Robert Berkley: Thank you.
Operator: Our next question comes from Arash Soleimani with KBW. Your line is now open.
Arash Soleimani: Thanks and good afternoon. So, you had mentioned in terms of the building in DC was not recognized, it wasn’t mark-to-market on the balance sheet. Can you remind us as of the end of the third quarter what the magnitude of the gains is on your balance sheet that are not actually mark-to-market?
Bill Berkley: Hi, this is Bill. We actually don’t try – we don’t try and mark everything to market to a quarterly date. What we have said was we carried that building at cost and it was amongst the list of assets that we went through in a general sense to get people to understand why we valued our assets more highly than the marketplace or the balance sheet stated them to be and therefore we have a number of other buildings. We have other things just different than our ownership in HealthEquity was suddenly mark-to-market when we owned less than 20%, because we no longer equity accounts because at one point, we owned a lot more than 20%. We were trying to get people to understand that difference, but it’s not really something that we are going to try and do on a quarter-to-quarter basis. And Mark, everything we own to market, so everybody can try and keep their track. We continue to have substantial assets that are carried at very far under the fair market value to sell and we expect that it will continue to generate realized gains or as we have said we expect that we will more than $100 million a year for the foreseeable future as we sell from these assets and create hopefully additional investments to give us realized gains.
Arash Soleimani: Thanks. And that $100 million per quarter that you mentioned is that…
Bill Berkley: I didn’t say quarter I said $100 million a year.
Arash Soleimani: Sorry that’s I meant, my apologies, I meant will that largely stems from items that are not mark-to-market for us that the value basically become?
Bill Berkley: I can’t give you an answer to that. It’s going to come from various things, because HealthEquity was not mark-to-market. Now, its mark-to-market, some of the gains will come as and when we sell shares in HealthEquity, they will be coming from various things. We have a fairly wide array of things that we own and it will be a mixture of those things.
Arash Soleimani: Sure. And I think you mentioned the wildfires in your prepared remarks, is there any kind of sense you can provide as to what the potential exposure maybe?
Robert Berkley: Honestly, at this stage, I think it would be premature for us to even speculate as to what our exposure is. Having said that, given when we look at it on maps where our rooftops are, we don’t view this as being an earth-shattering event for us at all.
Arash Soleimani: Okay, that makes sense. And then just the last question I had was in terms of the realized gains, I don’t think in the release you provided the after-tax realized, but can we just basically multiply it by 35% and back that out. Is there any reason why it would be bigger than that?
Robert Berkley: Yes, that’s correct.
Arash Soleimani: Okay. Thank you very much for the answers.
Robert Berkley: Thank you for calling in.
Operator: Our next question comes from Jay Cohen with Bank of America. Your line is now open.
Robert Berkley: Okay. Hi, good afternoon, Jay.
Jay Cohen: Thank you. Good evening, everybody. Hey, guys. A couple of questions. I guess first go back to one of Kai’s questions on your view of reserves which really puts with how you manage the business for a long time. Based on your commentary, is it safe for us to assume that the positive development we have seen over the past several years probably comes down a bit going forward as well as it did in this quarter?
Robert Berkley: I would not – I would think that, that is a leap that I would not make.
Jay Cohen: Okay.
Robert Berkley: I think…
Jay Cohen: Very good. That’s helpful.
Robert Berkley: We look at our reserves on a quarterly basis. I would tell you that we are focused on erring on the side of caution. And when we pick our loss picks initially, we error on the side of caution and as they season out, we then tighten them up, but no, I would not read into the comment or the number or assume that, that is trying to lead you in a direction that this is the new norm one way or the other.
Jay Cohen: Got it.
Robert Berkley: I think we are. Okay.
Jay Cohen: That’s helpful.
Robert Berkley: Was there anything else Jay?
Jay Cohen: Yes. On the high net worth business, just really for modeling purposes, can you give us a sense of what the operating expenses are which will have to shift from one bucket to another?
Robert Berkley: I would at this stage, I would pencil in $5 million a quarter.
Jay Cohen: Perfect. That’s helpful.
Robert Berkley: Anything else, Jay? Scarlet, were there any other questions?
Operator: Yes. Our next question comes from Larry Greenberg with Janney. Your line is now open.
Larry Greenberg: Thank you very much. Yes, my questions have all been hit really, but just to follow-up on California would the kind of non-threatening loss maps, would that apply to the reinsurance business as well?
Robert Berkley: I’m sorry, the non-threatening loss maps, when we look at on a map, it hits to the best of our ability and of course we have loss ratio caps and things like that with much of the reinsurance that we write to. So, again from our perspective, while it’s likely that this is going to be a $5 billion to $10 billion event for the industry, we think we will be notably underweighted as usual.
Larry Greenberg: Great. And then just on taxes, I mean have you seen anything recently on the foreign tax issue that gives you more or less confidence that will be addressed?
Robert Berkley: Well, I will offer a quick comment and then I will turn it over to my boss, who is more in touch. I think the recent announcement of an inversion and our industry has gotten the attention of many, including one Mr. Paul Ryan and he has – I don’t know his office has publicly expressed a view about that inversion and just the overall ability to do that and actually they offer some comments beyond that as well, but I will pause there and leave it to you.
Bill Berkley: I think that we should understand that our argument is it makes no sense for a company that’s based in Dublin or Bermuda or the Cayman Islands to the write the same business that originates in the United States and a company based in Hartford or Greenwich or Des Moines or Dallas to write that same business and us to pay as domestic companies to pay full taxes and those companies today with little or no taxes. It was never the intention of tax writers it was an oversight and not a plan. The argument – the international companies put forth is we need their capacity. They are not here, because they are offering capacity there here to make money. At some point, people in Washington realized they are not offering their capacity to be nice, they are offering their capacity to make money. They compete with us everyday. Nothing will change when the tax laws change. I think the people in Washington are seeing it and they are seeing the same thing in reverse happening to many of our technology companies in Europe, where Europeans are saying you have to pay tax here to get business there. So, I think you are seeing it now. The same ideas are expanding in many industries. So, I think the tax writers in Washington are recognizing. It makes no sense that the business originates here you should pay tax and the business that originates here, I think we are getting a much more positive view about it having seen [indiscernible], which was one of our leading partners effectively emerge with an offshore company and get the benefits of that substantially lower tax rate and now just last week assurance doing the same thing effectively in an inversion. They are watching billions of dollars leave the country.
Robert Berkley: Was there another question.
Larry Greenberg: No, I am good. Thank you.
Robert Berkley: Thanks.
Operator: Our next question comes from Ian Gutterman with Balyasny. Your line is now open.
Ian Gutterman: Hi, thank you. Rob, I was hoping we can go back to your opening comment about the some of the parts not equaling the whole and it seems as if maybe half the losses or maybe more are missing. And do you lay that what the possibilities could be and I agree with those? I guess I wanted to ask you sort of the next part which is what happens next, if it is really isn’t only 50, maybe 60, not a 100, how much has that dampened the pricing momentum. And if let’s say, it is 100 and everyone is late, we are used to seeing average development on these type of events, but not by 2x. So, it seems a little fishy I guess if that’s really the case. But it feels look like people are trying to have, they are taking you to report low losses and still get pricing and you really think things work that way?
Robert Berkley: Yes. Honestly, it’s hard for us to comment on what’s going on in other organizations, we no different than presumably others on the call today. We do the simple math based on public information and when the pieces aren’t adding up, it kind of makes you pause. I don’t know, how people are thinking about it. I would be surprised if it turned out that the industry loss during the quarter was so much lower that somehow all of a sudden that was the variable that wasn’t making sense. But again, I can’t comment on other people, what I can tell you is in our case, we are carrying a very large amount of IBNR relative to case as it relates to storms. And that again is just in keeping with our philosophy around claims and erring on the side of caution early on and tightening it up over time, but there certainly is evidence that would then the question whether that is the approach that others are taking. I guess there is also the possibility that yes, there is some large participants that haven’t announced a number yet, but even if you take that handful and you apply a big number to them, it doesn’t fill the gap or anything close to it. So, the short answer is I don’t know, but I think at some point something is going to have to give and it’s going to come into focus. And in the meantime, I think as people may recognize the pain over time that may not be a bad thing from the perspective of a hardening market, because it’s going to be a slow drip of pain, it’s not just a quick shot. If you recall back after Andrew years and years ago, you saw a quick spike and then it started to erode quickly. Maybe that won’t be the case here.
Ian Gutterman: Okay. And do you have a view on Maria, because that’s the one that obviously the modeling terms are way off on it and for the people who have put out by storm estimates, it seems people are coming out losses on Maria less in the first two. And I guess personally that surprised me, I thought maybe Maria would have been higher, I don’t know if you agree with that, the first two?
Robert Berkley: I am not going to speculate as to what we think the industry loss is. I think anyone who pays attention like I am sure you are doing and others on the phone do, you look at the level of destruction and you hear the stories and then you try and dial it down for the media component that tends to sensationalize things it’s still a horrific situation at best. I think the scale of the loss I think we will have to see with time, I think that there are lot of questions around Maria, I think there are lot of questions around mortgage exposure in general. I think the mortgage insurance industry, I don’t know what their exposure is to Puerto Rico, but certainly, their exposure to Texas is very material. I don’t know how the movie plays out, if you sort of roll it forward and you have someone who has the house worth $100,000 or so and they didn’t have flood insurance, the house is trashed and they don’t have enough money, because they don’t have flood insurance to rebuild the house. I don’t know what that means when all of a sudden they go back to the bank and hand them the keys. So, there are a lot of questions there and really quite frankly, there are no answers at this stage. I think the other big wild card as we have talked about stemming from these storms is business interruption. And it tends to be one that people tend to overlook, people tend to think of when there is a catastrophe solely on the property loss or what happened to the structure, but the BI is not something that some that folks should underestimate.
Ian Gutterman: Absolutely, absolutely. And then as far as specifically your clauses, can you give us some sort of sense on the insurance side, are you into your reinsurance treaty, do you still have if we saw develop adversely?
Robert Berkley: Yes, we are very comfortable as to our numbers as I suggested earlier. And in addition to that, if there was an unforeseen event between now and our renewals, we are as comfortable today as we were before the series of events.
Ian Gutterman: Are you, I guess…
Robert Berkley: I am trying to answer your question…
Ian Gutterman: No, I am going to ask a slightly different question, which is about…
Robert Berkley: Okay.
Ian Gutterman: When you get to your reinsurance renewal, I mean obviously if you have toasted your treaty that’s a different issue and then you can punt on the question, but if your – sort of a lot of companies are suggesting they are slightly into their treaties, if you are sort of in a similar position, I assume if someone comes to you and tries to push a big rate increase, the obvious responses is we didn’t hit you that hard. Is that fair or is that not the conversation, is it more understanding given the market losses?
Robert Berkley: Sorry, can you repeat the question?
Ian Gutterman: Well, just on your outbound program right, if when your re-insurers come to you and say we want a healthy double-digit percent rate increase, I assume the natural response to that is we then hit you as hard as other guys hit you. So, why you are asking us for it sort of…
Robert Berkley: I think that ultimately our re-insurers have supported us for an extended period of time. And our view is that they should acknowledge or recognize our results and how we have served them well by protecting their capital just like we protect our own and that’s been demonstrated by the results.
Ian Gutterman: That’s what I thought I just want to make sure. And then just real quick and then I’ll hop off, is your reinsurance side, can you just – the reinsurance is a little higher than I was modeling I get the total I guess I had right, but I just have the segments off. Was there anything specific on the reinsurance, was it mostly from cat treaties, was it per risk or fact or anything that kind of stood out they can call out?
Robert Berkley: As far as our loss activity?
Ian Gutterman: Yes, the strong losses on the reinsurance segment?
Robert Berkley: Yes, honestly, it was give or take in line with our expectations.
Ian Gutterman: Okay, perfect. Thank you.
Robert Berkley: Okay. Unfortunately, it would seem as though the fire alarm is going off in our building. And as a result of that, we are going to have to cut the call a little bit short, so please accept our apologies. Obviously, if you have further questions, by all means feel free to reach out to Karen, to Rich, myself and we will be pleased to answer those questions. And again, from our perspective on a relative basis, we think the results were pretty good given the circumstances. And finally, we are well-positioned if the market conditions change as we think they might take full advantage of it. Thank you again for calling in. Bye-bye.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program. You may now disconnect. Everyone have a great day.